Operator: Good morning, ladies and gentlemen, and welcome to the Secure Energy Q2 2023 Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Thursday, July 27, 2023. I would now like to turn the conference over to Alison Prokop, Director of Corporate Planning. Please go ahead.
Alison Prokop: Thank you, and welcome to Secure Conference Call for the second quarter of 2023. Joining me on the call today is Rene Amirault, our Chief Executive Officer; Allen Gransch, our President; and Chad Magus, our Chief Financial Officer. During the call today, we will make forward-looking statements related to future performance, and we will refer to certain financial measures and ratios that do not have any standardized meanings prescribed by GAAP and may not be comparable to similar financial measures or ratios disclosed by other companies. The forward-looking statements reflect the current views of Secure with respect to future events and are based on certain key expectations and assumptions considered reasonable by Secure. Since forward-looking information address future events and conditions, by their very nature, they involve inherent assumptions, risks and uncertainties, and actual results could differ materially from those anticipated due to numerous factors and risks. Please refer to our continuous disclosure documents available as they identify risk factors applicable to Secure factors which may cause actual results to differ materially from any forward-looking statements and identify and define our non-GAAP measures. Today, we will review our financial and operational results for the second quarter of 2023, followed by our outlook for the remainder of the year. I will now turn the call over to Rene for his opening remarks.
Rene Amirault: Thank you, Alison, and good morning, everyone. Our results in the second quarter continued to demonstrate the strength and consistency of our core business operations. We achieved strong adjusted EBITDA of $119 million or $0.40 per basic share despite the impact of temporary facility shut-ins and lower customer production due to widespread wildfires across Western Canada. We would like to extend our heartfelt gratitude to emergency responders, staff, industry partners for their hard work in protecting our communities during the wildfire situation. Year-to-date, our operations delivered adjusted EBITDA of $270 million or $0.90 per share, a 10% increase compared to the same period last year. While maintaining a strong adjusted EBITDA margin of 35%. Positive impact from cost-saving synergies related to the Tervita merger and higher revenue leading to improved fixed cost absorption have more than offset the impact of inflation. We continued to make significant progress in delivering on our capital allocation priorities during the second quarter. We have returned $175 million of capital to shareholders in the first half of the year through our $0.10 quarterly dividend and strategic share repurchases. In total, we have repurchased 5.5% of our outstanding common shares this year. In addition, we invested $67 million in capital expenditures year-to-date to advance previously announced infrastructure projects that are backed by strong commercial agreements, providing consistent cash flows throughout all business cycles. All of this was achieved while continuing to maintain a solid debt-to-EBITDA covenant ratio of 1.9x. Overall, we remain committed to maintaining a strong balance sheet, unlocking additional shareholder value through increased return to shareholders and sustainably growing our business through our capital investment program. We also released Derek 2022 Sustainability Report and our Task Force on climate-related financial disclosures in May, demonstrating our ongoing commitment to transparent reporting, our philosophy when evaluating ESG and climate-related projects designed to support the energy transformation is focused on applying good business practices to everything we do, which means they are beneficial to secure our customers, the environment and provide a healthy financial return on investment. On June 19, this year, we appealed the Competition Tribunal decision which was heard based on errors of law and errors of fact by the Federal Court of Appeal. We remain optimistic that the appeal arguments will be successful. Chad will now go through the financial highlights from the second quarter of '23.
Chad Magus: Thanks, Rene, and good morning to everyone on the call. During the quarter, we generated revenue of $353 million, consistent with Q2 of last year. As wildfires in Western Canada caused temporary waste processing facility and landfill closures, reducing activity from evacuations in certain areas and reduced revenues from energy producers that shut in operations in affected areas and action precautionary measures. We recorded net income of $34 million or $0.11 per share, a decrease of $20 million or $0.06 per basic share compared to the second quarter of 2022, driven by an adjustment related to asset retirement obligations in the prior year period, which resulted in lower than typical quarterly depreciation expense. Our adjusted EBITDA margin came in at 34% and slightly down from 36% in the second quarter of 2022. Due to wildfires, service mix and higher weather-related operating costs, partially offset by the full run rate of realized synergies. Looking at our segmented results. Overall, the strongest contributors to our results in the quarter was our Environmental Waste Management Infrastructure segment, generating adjusted EBITDA of $93 million, a 7% increase over the second quarter of 2022. The increase was driven by strong price water volumes in areas not impacted by wildfires, improved efficiencies and operating capabilities for metal recycling and the full run rig of cost synergies resulting from the Tervita merger, which more than offset the impact of temporary shut-ins cost by wildfires during the quarter. The Energy Infrastructure segment generated adjusted EBITDA of $34 million, a decrease of $6 million from the comparative period 2022, primarily due to higher cost of sales resulting from increased offtake tolls during the quarter. Our Oilfield Services segment contributed $4 million of EBITDA lower in the second quarter of 2023 compared to last year, primarily as a result of delays in project management services. Funds flow from operations of $80 million was flat from Q2 of 2022 as lower interest paid was partially offset by lower adjusted EBITDA and higher spending on site reclamation and remediation activities. Our total debt-to-EBITDA ratio remains at 1.9x with the recurring nature of our cash flows, we remain very comfortable with our principal debt balance of $962 million at June 30. We expect to maintain a total debt-to-EBITDA covenant ratio of approximately 2x this year. Our capital structure has no near-term maturities with the first note maturing in 2025. We maintain a considerable liquidity position with $334 million of availability on our credit facilities, which also mature in 2025. We paid our quarterly dividend of $0.10 per common share, resulting in a dividend payout ratio on a trailing 12-month basis of 34%. At our current share price, the annual dividend provides an attractive yield of 6% on our common shares. We remain very active on our normal course issuer bid during the quarter. Over the 3-month period, we repurchased and canceled 7.3 million common shares at a weighted average price of $6.40 per share for a total of $47 million. As Rene mentioned, in total, we have repurchased 5.5% of our outstanding common shares in 2023. We were extremely pleased to receive an upgraded issuer rating from B+ to BB- from Fitch Ratings to reflect our better-than-expected financial performance following the Tervita merger, driving strong fleet, free cash flow and debt reduction capacity. During the second quarter, we also successfully obtained consent from a majority of senior secured noteholders to amend the indenture for our 11% notes to align restricted payment capacity of the indenture, with out of the indenture governing our 7.25% unsecured notes, facilitating the delivery of Secure's capital allocation priorities. Our solid balance sheet, along with our strong recurring cash flows, allows us to continue to provide meaningful shareholder returns pull through our quarterly dividend as well as opportunistic share buybacks. I'll now pass the call over to Allen to provide our operational highlights.
Allen Gransch: Thanks, Chad. Good morning, everyone. We are very pleased with the performance across our operations in the second quarter despite the challenges presented from the wildfires in Western Canada, our extensive infrastructure footprint and scale underscore the resiliency of our operations. During the month of May, our operations were impacted by the wildfires in Western Canada as we took measures to shut in infrastructure and reduced operations at specific waste processing facilities and landfills. In June, we resumed full operations at the impacted facilities. As a result, within our Environmental Waste Management Infrastructure segment, waste volumes received and processed at our waste processing facilities decreased by 8% over the second quarter of 2022 to approximately 58,000 barrels per day as a result of facility shut-ins due to the wildfires. Our industrial landfill saw a similar decline of 6% to 790,000 tons of solid safety contained across 17 locations. Produced water processing and disposal volumes remained strong in the quarter, averaging nearly 154,000 barrels per day, an increase of 16% over the prior year quarter due to high activity in the Montney region of Alberta, which was not impacted by the wildfires in the quarter. At our metal recycling facilities, ferrous volumes were up 36% due to operational efficiencies and increased rail capabilities, improving our recycling operations. Equipment upgrades, including the purchase of new rail cars in the third quarter will increase our handling capacity and drive further optimization at these facilities. Our Energy Infrastructure segment had a strong quarter operationally with throughput increasing by 3% over the second quarter of 2022 to 123,000 barrels per day despite the impact of wildfires on production volumes. Overall, the contracted nature of the volumes from our oil gathering pipelines, along with the location of Secure's crude oil terminals closer to customer production continues to drive strong and consistent volumes for terminaling and optimization. The Oilfield Services segment experienced lower activity and delays in project management services due to the impact of wildfires. Turning now to our capital program. Our two major infrastructure growth projects this year, the expansion of the water disposal facility in the Montney region and an oil pipeline and terminal in the Clearwater region, are nearing the end of the construction phase and remain on budget. We look forward to commissioning and having these services during the fourth quarter of 2023. We are extremely pleased with these projects that they will provide reliable volumes and reoccurring cash flows through customer partnerships with long-term take-or-pay contracts. The Montney water disposal infrastructure is backed by a 12-year commercial agreement with a senior E&P producer for a water disposal. The agreement provides Secure with the take-or-pay commitments on nearly 90% of the facility's capacity and the customer with guaranteed access to cost-efficient water disposal. The new disposed well has been successfully drilled and completed and the construction of the injection pipeline and facility upgrades are currently underway. The Clearwater oil pipeline and terminaling infrastructure is also backstopped by 3 commercial agreements for a 10-year term. The significant growth in the Clearwater area, which has seen production grow from 0 to approximately 117,000 barrels per day over the last 5 years has required additional infrastructure to support higher production volumes. In total, we incurred $31 million of growth capital in the second quarter of 2023 related primarily to these two projects. In the year-to-date, we have incurred $67 million of our $100 million total growth capital program anticipated for the year. We also incurred $37 million of sustaining capital related to landfill cell expansion, well and facility maintenance, asset integrity programs and asset purchases for our metal recycling operations. We continue to expect to incur approximately $60 million of sustaining capital and $25 million of investment into landfill expansions in 2023. The additional landfill expansions are in the anticipation of the increased abandonment spend obligations driven by the government regulations as liability management programs in B.C., Alberta and Saskatchewan' seek to speed up the rate at which inactive wells and facilities are abandoned and ultimately reclaimed. I will now turn it back to Rene to address our outlook for the remainder of 2023.
Rene Amirault: Thanks, Allen. Throughout the remainder of '23, Secure continues to expect the current macro environment in both the industrial and energy sectors remained strong. Energy industry activity remains robust as producer discipline, balance sheet strength, cost optimization efforts and operational efficiency strategies facilitate the ongoing development. Our infrastructure network continues to have significant capacity to help customers with increased volumes requiring, processing, disposal, recycling, recovery and terminaling with minimal incremental fixed costs or additional capital. Overall, Secure's expects volume activity levels and demand for Secure infrastructure to remain strong during the remainder of '23. The addition of new customer-backed infrastructure results in incremental reoccurring cash flows for Secure through take-or-pay obligations and production area dedications that also provide a guaranteed rate of return on our investments. Given this backdrop, we remain confident in executing our previously announced capital allocation priority to return more capital to shareholders and execute on the '23, $100 million growth capital program. We believe our shares are considerably undervalued in light of this, we plan to continue repurchasing shares. To date, we have repurchased 79% of the 22 million shares allowed under the NCIB, which is set to expire in December of '23. We expect to accomplish this while exiting the year with a total debt-to-EBITDA covenant ratio of approximately 2. This projection is based on our strong performance in the first half of '23, combined with our optimistic expectations for the remainder of the year. I want to thank all Secure employees for their hard work, dedication and drive that makes this company what it is. And lastly, thank you to our customers and stakeholders for their continued support and partnership. That concludes our prepared remarks. We would now be happy to take your questions.
Operator: Thank you, sir. [Operator Instructions] First question comes from Patrick Kenny with National Bank. Please go ahead.
Patrick Kenny: Thank you. Good morning. Just on the 58% utilization rate that you quote on a 12-month trailing basis versus I believe you were at roughly 65% before the wildfire. So I'm just curious if you're back to that level today? And maybe you can comment on further momentum that you're seeing through Q3, Q4?
Allen Gransch: Good morning, Patrick. Allen here. Good question. Yes. When we think about the wildfire impact, we had 20 facilities throughout Q2 that were shut in for various periods of time. Both on the waste processing and on the landfill side. We had minimal damage to those facilities that they all have burns around them and a lot of gravel. So it's a fire barrier. But when you think about the volumes and utilization, we had our volumes in our landfills were down, I think, 8% and our volumes in our waste processing facilities were down 6%. So you're right, that's going to affect our utilization numbers. But as production has come back online here, and we've seen that through the month of July, that utilization number is trending upwards. And from discussions with our customers, the majority of their production is back online. They're continuing with their capital programs throughout Q3 here and Q4. So we would expect that utilization number to go up as well. And I think we pointed it out in the commentary that produced water volumes were up 16% quarter-over-quarter. So that's that same reoccurring same-store sales that we see is that annuity in our revenue streams. So when you look at that environmental waste management infrastructure segment, the majority of the volumes are production and industrial related. They're reoccurring. It's like 80% of the revenue comes from that nature. And so we expect that as volumes continue to come back here and same-store sales grow, we'll see that utilization number come back up.
Patrick Kenny: Okay. That's perfect. Thanks. And then maybe just on the Clearwater, thanks for confirming that your pipeline remains on budget there despite the slippage in the in-service date. But maybe just based on where crude prices are at these days as well as the compression that we've seen in the differentials. I'm wondering if you could just provide a general update on the level of demand you're seeing from Clearwater customers for additional infrastructure as you start to think about 2024.
Allen Gransch: Yes. No, great question. I mean, as we pointed out, their volumes are 117,000 barrels a day in discussion with a lot of the partnerships that we have up there on what we call Phase 1 of our Nipisi Clearwater infrastructure. We're definitely going to see more demand as we head into 2024. We're going to see that 117,000 barrels per day increase. So right now, we're on budget to have this being commissioned and operational here during the fourth quarter. And I would expect that we're going to have to add a bit of capital as we head into 2024, and we've anticipated this that there is more volumes coming out of that area that we need to ramp up more capacity, and we have the room to do that. That's the way we've designed the facility. And so in discussions with those customers and their plans for '24 and '25, we do think the throughput of that facility will increase and as well as we'll have to add a bit more capital there. And all of it is through these long-term take-or-pay agreements. I mean, they want to make sure that we're here for the long haul, partnering up here over a 10-year agreement to make sure that they've got that takeaway capacity because a lot of that volume today is being trucked and they obviously want to be more efficient with that volume and put it on a pipeline. So we're there to help them out. And to your question, yes, I think it's going to continue to grow, and we'll be there to support it.
Patrick Kenny: Okay. Thanks for that. And then, last one for me. You guys, just on your appeal after it was heard on the 19th. I'm wondering if there's still maybe an opportunity for a settlement here before the Court of Appeals decision is released maybe later this year. And also whether or not you're running a soft process here for the 29 facilities, just in case the appeal is unsuccessful. Or do you wait until the appeal process has been fully exhausted, including potentially being heard at the Supreme Court level? And then kick off a sales process at that point?
Rene Amirault: Yes. Great question. I mean, I'm just dying for the commissioner to fly out here any time he wants to start negotiating, and we're always willing to listen to their thoughts. But I think the way the legal process works today, Patrick, it is very much a little bit more black and white than maybe what common sense would prevail. So we patiently await the appeal process. I think we've mentioned this in previous quarters that right from the get-go when there was a tribunal being set up. We've had a lot of inbound calls saying, hey, if you ever have to divest these assets put me on the list. So we have a lot of various companies throughout North America that would be very interested in these great infrastructure assets and recurring revenue type assets. So how that proceeds in terms of doing a process before or after. Those are still debates discussions, and it will probably be based on these companies wanting to get in front of us. So we'll see how that plays out over the next quarter and hopefully, the decision comes sooner rather than later, but it's summertime in Ottawa and guess what, a lot of things don't happen in summertime in Ottawa.
Operator: Thank you. [Operator Instructions]. There are no further questions at this time, Mr. Amirault, back over to you.
Rene Amirault: Thank you for being on the conference call today. A tape broadcast of the call will be available on Secure's website. We look forward to providing you with updates on Secure's performance at the end of October after the completion of our third quarter. Thank you again and have a great summer. Bye now.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank your participating and ask that you please disconnect your lines.